Michael Smargiassi: Thank you and welcome to the Systemax's second quarter 2017 earnings call. Today's call will include formal remarks from Larry Reinhold, President and Chief Executive Officer and Tex Clark, Vice President and Chief Financial Officer. We will not be hosting a live Q&A session at the end of today's call. If you should have any questions on second quarter results, please contact Brainerd Communicators or Systemax. Contact details can be found on the press release issued today at www.systemax.com. Today's discussion may include certain forward-looking statements. It should be understood that actual results could differ materially from those projected due to a number of factors, including those described under the Forward-Looking Statements caption in the company's Annual Report on Form 10-K and quarterly reports on Form 10-Q. I would like to highlight the non-GAAP metrics that are included in today's press release. The company believes that by presenting the entire North American Technology Products Group, its divested European operations and Afligo, former rebates processing business as discontinued operations, as well as excluding certain recurring and nonrecurring adjustments from comparable GAAP measures, investors have an additional meaningful measurement of the company's performance. This call will include a discussion of certain non-GAAP financial measures. The company has provided a reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures in today's press release. The press release is available on the company's website and will be filed with the SEC in the Form 8-K. This call is the property of and is copyrighted by Systemax Inc. I will now turn the call over to Mr. Larry Reinhold.
Larry Reinhold: Thanks Mike. Good afternoon everyone and thank you for joining us today. Our consolidated continuing operations, which consists of our North American Industrial Products Group and our France technology value-added reseller businesses, delivered exceptional performance in the second quarter. On a GAAP basis, revenues reached $313 million, an increase of more than 8% on a constant currency average daily sales basis, with strong operating leverage, resulting in GAAP operating income of over $21 million and net income of $0.52 per diluted share from continuing operations. On a non-GAAP basis, revenues increased nearly 13% on a constant currency average daily sales basis with operating income of nearly $23 million and net income of $0.40 per diluted share from continuing operations, the reduction due to a normalized income tax rate. Let's first discuss the Industrial Products Group. Industrial surpassed $200 million in quarterly revenue for the first time in its history, generating an increase of nearly 12% on a constant currency average daily sales basis. Topline growth was once again among the best in the industry as we benefited from solid performance in core categories led by sales of stock products. We showed exceptionally strong operating leverage and improved execution across the business. Operating margin more than doubled from last year, in part due to favorable sales mix as our higher margin stock product offering comprised a larger percent of total sales. We also benefited from the investment in efficiency efforts of the past 18 months, which include inventory, freight, advertising and staffing optimization. Our industrial employees and management team have been the key to the success of these efforts and both our top and bottom line performance is a direct reflection of their hard work. I would note that we will continue to invest in sales and other business initiatives going forward and our future operating margin performance will reflect such investments and initiatives and maybe lower. Tex will provide additional color on our margin performance in a moment. Our industrial Canadian business average daily sales grew over 15% on a constant currency basis in the quarter as we have executed on many sales initiatives and our investments in operational improvements are showing solid returns. Additionally, earlier this year we launched MROTrak, our inventory management system designed to allow customers to efficiently manage the stocking of maintenance related items in their own facilities. This new service was developed as a direct result of customer feedback and we have a number of customers live on the system today. It should allow us to expand our MRO and consumable products business and is a good example of the expert knowledge and enhanced services we are bringing to our customers. In conclusion, industrial had an exceptional first half of the year and remains well positioned for continued success. It was recently ranked number 21 on Modern Distribution Management's 2017 Top Industrial Distributors list, up from number 23 last year in recognition of the above market growth we are generating. Our management team is driving improved execution, is focused on long-term profitability and we continue to explore strategic M&A opportunities. Turning to our French business, our Inmac wstore IT value added reseller business generated more than €100 million in revenue for the third consecutive quarter and recorded its 1fourth consecutive quarter of double-digit organic local currency topline growth. On a constant currency basis, average daily sales grew 14% in the quarter with solid growth across all customer segments, led by key large accounts. Our business, both expanded relationships with current customers and added a number of new accounts in the period. Operating margin remained above 5% and improved substantially over last year. France outperformed its peer group on the topline and continued to benefit from its senior sales team, efficient operations, outstanding customer and vendor relationships and excellent customer service. It is well on its way in migrating to local providers all the processes that have been provided by our now divested shared services center with limited to know disruption to day-to-day operations. The management team continues to expand the value-added products the business provides including services and solutions offerings, which remain an important area of focus. In summary, we are operating two successful and growing businesses and our management teams are executing on their operating plans. In both Industrial and France, we are strengthening customer relationships, enhancing the customer experience and broadening our services offerings in support of our core product lines. We are returning capital to shareholders through our quarterly dividend and are focused on driving performance and long-term value. We are also actively seeking out strategic M&A in both segments to position each business for continued future success. Finally, we also announced today the appointment of Barry Litwin to the Board of Directors. Barry brings extensive e-commerce and distribution knowledge to our Board and will be a valuable addition to the company as we continue to execute on our strategic plan. Barry is filling the seat vacated by Stacy Dick, who served on the Systemax Board for nearly 22 years. I have had the pleasure of working with Stacy since I joined the company. He will be missed and we wish him well in his future endeavors. I will now turn the call over to Tex.
Tex Clark: Thank you Larry. I will address our segment financial performance in more detail. As mentioned previously, my comments will be primarily directed to non-GAAP results. In addition, revenue results now include an average daily sales metric to enhance comparability between periods. As noted on the earnings release issued today, we have changed the presentation of certain costs in our P&L to better align with Systemax's current MRO oriented peer group in North America. Historically, we had recorded the costs associated with operating our distribution centers as well as the cost of our purchasing and product development teams as a component of cost of goods sold. Today we have amended our presentation and reclassified this cost to within operating expenses under the P&L line item selling, distribution and administrative expenses. I would like to reiterate that this is simply a reclassified presentation of these expenses and not a restatement of any expense amount. This reclassification has been applied to both the current and prior periods. To enhance investors' understanding of this change, we have included supplemental historical tables in today's release for each of our segments as well for our consolidated results. All numbers discussed in today's call are reflective of this change. Turning to our results, second quarter consolidated revenue reflects double-digit topline growth in both Industrial and France on a constant currency average daily sales basis. Consolidated gross profit improved almost 20% year-over-year with margin expanding to 29.2% driven by an increased concentration of stocked product and the resulting freight performance within our Industrial Products Group, partially offset by a modest reduction in gross margin in France, primarily attributable to customer mix. Consolidated SD&A decreased on a percent of sales basis as we shared leverage across the business. Non-GAAP operating profit and margin increased to $22.8 million and 7.3%, respectively. Starting with Industrial's financial performance, Industrial's second quarter revenue increased 11.5% on a reported basis and 11.7% on a constant currency average daily sales basis. Both the 2017 and 2016 second quarters had the same number of selling days. In our Canadian operations, we delivered 15.6% growth on a constant currency basis, the second consecutive quarter of strong double-digit gains. Overall revenue growth was driven by solid performance in our legacy product lines as we focused marketing campaigns on these categories in the quarter. Further, we also saw initial gains in certain emerging categories within our portfolio over the prior year as we continue to educate our sales team and customers on our enhanced product offering in these categories. Industrial's gross profit for the quarter increased $73.3 million from $59 million last year. Reported gross margin improved to 370 basis points, reflecting a favorable sales mix, which included a larger percentage of total sales from our stocked products, which traditionally have a higher margin than our drop ship offering, improved freight margin performance as we more effectively utilized our nationwide distribution network and capitalized on our new warehouse management system, strategic pricing optimization and an improvement from a one-time negative inventory adjustment recorded in the second quarter of 2016. Selling, distribution and administrative spending for the quarter was $50.2 million, a 280 basis point improvement as a percentage of sales from last year. We delivered improved leverage across all major cost functions including advertising, salaries related, general OpEx as well as distribution center expenses, both sequentially and compared to the prior year. Industrial's non-GAAP operating income for the quarter was $23.1 million and margin improved to 11.4%, an improvement of over 650 basis points from last year and 460 basis points on a sequential quarter basis. Total depreciation and amortization expense in the quarter was $1 million. Before turning to France, I would note that the Industrial had an exceptional operating margin performance in the quarter, which benefited from improvements in both gross margin as well as leverage spending within the operating expenses. We believe the margin improvements realized in Q2 highlight the investments we have made in the business, including the continuation of our warehouse efficiency projects as well as the completion of certain cost reduction efforts. However, as we look to the second half of the year, we will continue to invest in marketing to drive our growth in many of our emerging categories, which have less developed offerings and typically come with lower gross margins. As such, we expect future quarters to show continued margin gains compared to last year, but likely at a lower rate of improvement than realized this quarter, Turning to France's financial performance. Second quarter revenue increased 6.4% to $110 million on a USD reported basis. We had 60 selling days in the second quarter, compared to 63 days in the second quarter last year. This, along with FXC changes resulted in average daily sales increasing 14.5% on a local currency basis. Performance in the business followed a similar pattern as experienced in Q1 of this year led by growth in our large key accounts. Key counts grew over 25% in Q2 and represented 40% of our business in France. France gross profit for the quarter increased to $18.2 million while its gross margin decreased 40 basis points to 16.5%, primarily reflecting a shift in the customer mix towards larger customers and large projects which have a lower margin profile than other segments of that business. France continues to look for opportunities to have higher margin peripherals, services and solutions around the sales of its core products to maintain gross margin level. SD&A spending was $12.4 million, a 200 basis point improvement as a percentage of sales. The primary reason for the year-to-year improvement was the recognition of a one-time expense in Q2 2016 of $1.4 million, or 140 of the 200 basis point variance. Leverage was primarily related to volume growth spread across our fixed cost base and a reduction in costs associated with the migration of certain functions from our previous EMEA shared service center back to France. France's non-GAAP operating income for the quarter was $5.8 million and margin improved to 5.3%, a 30 basis point improvement from last year excluding the previously mentioned charge in the prior year. France recorded $0.1 million of depreciation and amortization in Q2. As a reminder, our French business has some historical seasonality, with the third quarter typically the slowest period due to high personal holiday rates amongst our customers, vendors and staff, which typically begin around the Bastille Day holiday in early July. This has resulted in lower sales and softer margin performance in the third quarter as fixed costs covered by a lower revenue and gross profit base. Prior-year experience can be seen in our supplemental tables included in today's release. Turning to our discontinued operations. In North America Technology, our initially lease reserves for vacant properties were based on third-party expert real estate evaluations on our future disposition of these properties along with accounting for our experiencing an exiting our first 35 retail outlets. However, given the continued change in the commercial real estate landscape as well as specific limitations on certain of our remaining properties, we recorded an incremental $3.2 million in lease reserves in the period reflecting an updated view on lease mitigation opportunities. These costs will continue to cash flow over the life of the leases and not in any one period. In regard to the March divesture of our European operations, excluding France, we recorded an additional $0.9 million of certain severance and other reorganization related charges. While certain contingencies remain, as of this time, we do not believe there are any further material costs associated with the exit of these operations. Let me now turn to our balance sheet. We continue to have a very strong and liquid balance sheet with a current ratio of 1.9:1. As of June 30, we had approximately $160 million in cash, no debt and over $216 million of working capital. Further, we have approximately $70 million of availability under our $75 million credit agreement. The strength of our balance sheet allows us to continue to invest in our growth opportunities, explore strategic M&A and return capital to shareholders. As a result, our Board of Directors has declared a cash dividend of $0.10 per share of common stock to shareholders of record at the close of August 14, 2017, payable on August 21, 2017. We anticipate continuing a regular quarterly dividend in the future. This concludes our prepared remarks. If you have any questions about the second quarter 2017 earnings, please contact Mike Smargiassi at Brainerd Communicators, our investor and media relations advisor or Systemax directly. Contact information can be found on our earnings release issued earlier today. Thank you for your continued interest in Systemax.
End of Q&A: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.